Operator: Thank you for standing by. This is the conference operator. Welcome to the Marin Software Third Quarter 2022 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Bob Bertz, CFO. Please go ahead.
Bob Bertz: Thank you. Good afternoon, everyone and welcome to Marin Software’s third quarter 2022 earnings conference call. My name is Bob Bertz, I am Marin’s CFO. And joining me today is Chris Lien, Marin’s CEO. By now, you should have received a copy of our earnings release, which crossed the wire a short time ago. The release can also be obtained on our website at investors.marinsoftware.com. Call participants are advised that the audio of this conference call is being recorded for playback purposes and that the recording will be made available on the Investor Relations section of our website within a few hours. Before we begin, I’d like to note that our discussion today will include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. These forward-looking statements include statements about our business outlook and strategy, our expectations for customer adoption and use of our MarinOne platform, historical results that may suggest trends for our business, our expectations about our ability to improve customer retention and new business bookings and to return to growth, our ability to manage our expenses and cash resources, the impact of investments in product and technology, progress on product development efforts, product capabilities, our relationships with publishers and other parties in the digital advertising market, expectations for future economic activity and digital advertising spending and our expected Q4 and future financial results. We make these statements as of November 3, 2022 and disclaim any duty to update them. For more information regarding these and other risks and uncertainties that could cause actual results to differ materially from those expressed or implied in these forward-looking statements as well as risks relating to our business in general, we refer you to the section entitled Risk Factors in our most recent reports on Form 10-Q and Form 10-K as well as our other SEC filings. This presentation contains certain financial performance measures that are different from the financial measures calculated in accordance with GAAP and may also be different from similar calculations or measures used by other companies. A quantitative reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our third quarter 2022 earnings release. With that, let me turn the call over to Chris.
Chris Lien: Thank you, Bob. Good afternoon, everyone and thank you for joining our call today. I’ll share my observations on the quarter and provide an update on our initiatives to return Marin to growth. Bob will then provide additional detail on our third quarter results for 2022 and our outlook for the fourth quarter of 2022. As I highlight at each call, we remain committed to return Marin to growth and to maximize shareholder value. Our plan to achieve this is focused on delivering a leading cross-channel advertising management platform to enable brands and their agencies to maximize the returns from their online advertising investments. We call this platform MarinOne. Our efforts are focused on Marin’s return to growth and we continue to believe that our strategy is sound as we report a moderation in our revenue decline on a year-over-year basis. This past quarter, we saw an improvement in customer retention and promising new business activity. And as I did on our last call, I am pleased to share that given the encouraging customer feedback that we have received, we are increasing our investment in marketing activities across the rest of this year to bring MarinOne to the attention of more brands and their agencies. As announced in today’s earnings release, Q3 revenues came in at $5 million, which was at the high end of our previously published guidance for Q3, but still down from Q3 in the prior year. I should highlight that on a sequential basis, Marin’s revenues were up from Q2. Our revenue results for the third quarter continue to reflect a bit of softness in existing customer digital advertising spending, which we believe is due to current economic headwinds. The softness is less than we saw in Q2, even if most observers of the economy highlight increased economic uncertainty. As I have mentioned in the past, we don’t have a crystal ball at Marin, so we don’t know for how long the spending pullback from existing customers will last. But our view is that on a relative basis, brands will return to digital advertising in the channels that can be managed by our MarinOne platform, given the performance-oriented nature of the spending to drive revenue and customer acquisition. Our guidance for Q4 accounts for this modest ad spend pullback that we are observing across many of our customers. Our Q3 non-GAAP operating loss was at the high end of our guidance despite our lower revenue for the quarter and continued investment in MarinOne and our team. Our total cash balance at the end of Q3 was $31.7 million, providing Marin with significant resources to pursue our strategy and to support our customers. At the end of the third quarter, our global headcount was approximately 173, while half of our team is in technology roles, reflecting our significant investment in delivering products to drive results for leading brands and their agencies. Marin continues to hire in technical field sales and customer support roles. As has been our practice, we will continue to balance investments with cost management. As I have shared on past calls, Marin seeks to be an ally in digital for the world’s leading brands and their agencies. Customers and prospects traverse a range of channels, devices and publishers online on their path to purchase. Marketers need a cross-channel platform to engage at all points of this customer journey. And as we have highlighted, the walled gardens of Google, Facebook, Amazon and the other publishers do not play well together, leaving brands to connect the dots. Marin helps these advertisers to measure, manage and optimize their online advertising investment driving performance, time savings and better business insights. Our MarinOne platform is a performance layer to enable brands to drive greater returns from their digital advertising investments across search, social and e-commerce channels including the rapidly growing retail media channel. By performance layer, I am referring to MarinOne as a complement to the robust tools that each of the publishers provides to its customers. These publisher tools understandably are focused on the ad units of each publisher and encourage brands to spend more with that publisher. The publisher tools generally don’t compare advertising performance across publishers, don’t highlight opportunities to reallocate spend across publishers to improve performance and don’t promote a unified view of a customer’s journey across channels, devices and publishers. We supplement our MarinOne platform with support from our experienced team of digital marketing experts who can help brands to navigate the complex, but rewarding world of digital advertising. In early September, search engine, land.com, a leading independent digital marketing publication, set of MarinOne’s value-add. They provide a unified platform for search, social and e-commerce advertising and management. Features include helping digital marketers convert precise audiences, win new customers and make better decisions. A meaningful focus of our product development efforts at this time is Marin’s investment and budget optimization capabilities for digital advertisers and agencies. Marin offers the ability to set and then pace the budget across a group of publishers and associated campaigns while managing to a business performance target such as return on ad spend, or ROAS, or cost per lead. These budget management capabilities sit on top of the in-channel bidding capabilities of each of the publishers and also offer the ability to forecast results from potential ad investments using what-if functionality. Marin’s robust budget optimization capabilities now in MarinOne and also is investing to add to these capabilities to better meet the needs of digital advertisers and agencies. As part of Marin’s role to add value to publisher tools and to enhance customer efficiency, we introduced one-click support for nearly 20 insights, allowing users to implement changes with the click of a button to quickly improve the performance of their accounts rather than having to work through bulk sheets. Marin also expanded our dynamic actions functionality to allow changes to additional objects, including product targets and dynamic targets. As part of our analytics to action functionality, Marin introduced responsive bidding, which allows MarinOne Bidding to sync with publishers more often and with more intelligence. If responsive bidding detects a change to rules, boosts or strategy assignment, this will immediately be recalculated and Marin expanded support for Google Smart Bidding settings, giving users more flexibility in selecting the bidding tools that best meet their needs across Google and Marin. Marin’s investments in social publishers during the quarter included enhancements to our support of Meta, or Facebook’s marketing objectives as well as launching support for managing Snapchat ads in MarinOne, giving advertisers the ability to connect with over 300 million daily active users with immersive content that inspires action. Marin also added support for Pinterest Bidding, enabling Pinterest advertisers to leverage MarinOne’s state-of-the-art optimization. And we continue to invest in our ads partnership with TikTok, a fast growing global social publisher. Analysts estimate that brand will spend some $12 billion on TikTok ads in 2022 with strong growth forecast for the coming years. And as I mentioned on our last call, our integration with TikTok ad manager gives brands better insights and enables them to improve the performance of their TikTok campaigns through machine learning and automation. With 1 billion monthly active users globally, TikTok provides brands the opportunity to connect authentically with highly engaged and passionate consumers through the power of shared experience. As a cross-channel platform, we continue to invest to expand our support for Amazon ads. In Q3, I am pleased to share that based on Marin’s breadth and depth of support for Amazon ads, we were awarded Amazon Ads Advanced Partner Status. Marin also recently participated in Amazon’s unBoxed Advertising Conference in New York to enable Marin to share with our customers and prospects, the latest innovations and strategies from the Amazon Ads team. We also debuted MarinOne support for Amazon portfolios to provide more management at scale benefits to Marin’s customers who are looking to manage multiple Amazon campaigns with different budgets and business goals. As I mentioned in our last call, Marin was recently recognized as a strong performer in the Forrester Wave B2B advertising solutions Q3 2022, incited as best-in-class for B2B search and social advertising based on a thorough evaluation by Forrester of our MarinOne platform. Forrester is a highly respected third-party technology advisory firm and in this role, is able to access and review the leading providers in a given market space. Forrester’s validation of our cross-channel strategy for B2B marketers is a sign of the importance of coordinating the brand’s messaging across channels to reach prospects. We expect more B2B marketers to consider MarinOne for their marketing needs as a result of this recognition. During the quarter, Marin was upgraded to a LinkedIn Tier 1 partner, their highest designation and is now the only campaign optimization tool in this top tier, reflecting Marin’s commitment to this important growing B2B publisher. In addition to demand for our self-service SaaS platform offering, we continue to see good interest in Marin’s managed services capabilities, whereby Marin provides services to customers to support their media buying activities. Advertisers often have an interim need for staff, especially during this tight labor market, which is now combined with increased economic uncertainty, and Marin’s experienced digital marketers are able to help them to meet their business needs on a flexible basis. As I have mentioned in past calls, our activities to support brands and their agencies take place against an active backdrop of governmental antitrust investigations at the federal and state levels as well as in the EU of the businesses of leading publishers in the digital advertising market. There also is the potential of federal legislation to regulate the conduct of the leading publishers that could benefit Marin’s role as an independent ad management platform. Marin enjoys coopetition relationships with the leading publishers, and we do not expect significant changes in these relationships in the near term. Although we are not a party to any lawsuits or target in these investigations, Marin spent approximately $200,000 in Q3 on legal fees in conjunction with responding to official requests that Marin has received related to these various investigations. We expect to spend at similar levels in the coming quarter, based on the legal activity that we are seeing, which is primarily providing information in response to the various subpoenas. I continue to believe that Marin has a tremendous opportunity ahead. Marin can benefit as consumers spend increasing time online and ad dollars follow them, creating more need for brands to measure, manage and optimize these investments to acquire customers and drive revenue outcomes. We are seeing increasing interest in brands taking a cross-channel approach to their digital advertising investment and Marin, with our MarinOne platform, and our team of digital advertising experts, is well positioned to support leading brands and their agencies in these efforts. And now Bob will review our third quarter financial results and our outlook for the fourth quarter of 2022.
Bob Bertz: Thank you, Chris. I will provide an overview of our third quarter results and then share our forecast for the fourth quarter of 2022. I will begin with a review of our income statement. For the third quarter of 2022, Marin generated $5 million in revenue, which was at the high end of our guidance. Quarter revenue was up sequentially from Q2, but was down approximately 19% when compared to total revenue for the third quarter of 2021. As we have previously discussed, we renewed our revenue share agreement with Google for a new 3-year term commencing on October 1, 2021. The quarterly amount of revenue recognized under the new agreement is expected to be approximately $1.8 million versus approximately $2.3 million per quarter under the previous agreement. Adjusting for the decrease in revenue under the new Google revenue share agreement, our Q3 2022 revenue was down approximately 11% when compared to Q3 of 2021. We continue to see lower-than-expected spend from some existing customers during much of the third quarter of 2022, which we attribute to current macroeconomic factors, including fears of a recession. Our revenue was also negatively affected by foreign exchange rates due to the strengthening of the U.S. dollar against the euro and British pound. We do not know for how long this current economic uncertainty will impact advertisers spending activity. Our geographic split for revenue was approximately 81% U.S. and 19% international for the third quarter of 2022. Moving on to our operating results. As a reminder, our financial statements and a reconciliation of our GAAP to non-GAAP financial measures can be found in our earnings release issued earlier today. Our non-GAAP operating loss was $4.5 million for the third quarter of 2022 as compared to a $2.9 million loss for the third quarter of 2021. The $4.5 million non-GAAP operating loss in Q3 was at the high-end of our guidance. The increase in operating losses compared to Q3 2021 is attributable to a combination of lower revenue and an increase in operating expenses as we make investments in our sales and marketing and product development efforts. Our non-GAAP – I will start over. Our non-GAAP operating expenses increased approximately 8% as compared to the third quarter of 2021, primarily as a result of strategic investments that we are making in our sales and marketing and product development activities along with higher professional fees. We ended the quarter with 173 total headcount versus 152 a year ago. We expect our headcount to continue to increase in the near term as we continue to build out our sales and marketing and engineering teams. In terms of our balance sheet, we ended the quarter with a total cash balance of $31.7 million as compared to $37.5 million at the end of the previous quarter. We will continue to carefully monitor our cash levels as we make investments in our product development and sales and marketing efforts. Moving on to our outlook for the fourth quarter, for Q4 2022, we expect revenue to be in the range of $4.6 million to $5.1 million, and our non-GAAP operating loss is expected to be in the range of $4.9 million to $4.5 million. Our revenue guidance reflects our estimate of the continued impact on advertising spend by our customers due to this uncertain economic environment, and our non-GAAP operating loss guidance includes the cost impact of expected investments in our engineering and sales and marketing teams. This concludes our call for today. Thank you for your time and we look forward to updating you again during our Q4 2022 earnings call.